Operator: Thank you for standing by, and welcome to the Bank OZK's Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your host, Tim Hicks. Please go ahead.
Timothy Hicks: Good morning. I am Tim Hicks, Chief Credit and Administrative Officer for Bank OZK. Thank you for joining our call this morning and participating in our question-and-answer session. In today's Q&A session, we may make forward-looking statements about our expectations, estimates and outlook for the future. Please refer to our earnings release, management comments and other public filings for more information on the various factors and risks that may cause actual results or outcomes to vary from those projected in or implied by such forward-looking statements. Joining me on the call to take your questions are George Gleason, Chairman and CEO; Brannon Hamblen, President; Greg McKinney, Chief Financial Officer; and Cindy Wolfe, Chief Banking Officer. To make the most efficient use of the time we have for this call, we'd ask that you please limit your questions to one or two at a time and then reenter the queue for any follow-up questions if needed. We will now open up the lines for your questions. Let me ask our operator to remind our listeners how to queue in for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Zerbe of Morgan Stanley. Please go ahead.
Kenneth Zerbe: All right. Thank you. Good morning.
George Gleason: Good morning, Ken.
Kenneth Zerbe: Hopefully, I can start off, George, the thing in your sort of prepared written remarks, you talked about total loan growth in RESG potentially starting to grow again in fourth quarter. I know payoffs have been just such a headwind over the last several years. Are – is the comments designed to say that or suggest that payoffs could actually start to slow in fourth quarter? I mean, could we really be seeing a turnaround that those are starting to end in a big way?
George Gleason: Ken, no, I don't think that's a proper interpretation. I think payoffs will continue to be high. And I think the more hope in interpretation is to think about origination volumes beginning to increase in a meaningful way. I spent six weeks on the road during the second quarter visiting the vast majority of our major RESG markets and almost all of our origination team members out there. We had scores of customer meetings and interactions and looking at projects. So we're pretty optimistic about our ability to begin to achieve higher origination volumes that will offset the elevated repayments that we are experiencing now because we are getting repayments that naturally would have occurred last year, but for delays from the COVID pandemic plus repayments that would naturally have occurred this year. I think we originate construction and development loans where repayments are going to be a common part of the business. Now, obviously, we've got a higher level of accumulated prepayments this year than normal just because of the COVID-related delays in project completion, construction sales, leasing, refinancing last year. But we're going to continue to have to originate more to offset the fact that all of our loans in that construction and development both payoff. So we're focused on growth. We've got a great franchise. Our franchise has proven itself now through the Great Recession, proven itself through the pandemic. Our customers know they can count on us and rely on us that we're always going to be there for them. And I think we've got a chance to really grow our business over the next several years. And the six weeks on the road during this last quarter that I spent with our origination team out there certainly suggest that late 2021, 2022, 2023, we can take our RESG business to a more significant level than we've taken it in the past because the opportunities seem to be there. And, of course, Brannon's going to go on the road and do a lot of the same sort of networking that I did in the coming quarters, and I think all of that work with our origination team is going to help produce an increasing volume of business certainly next year, and hopefully, we'll see some of that begin to filter through in Q4.
Kenneth Zerbe: Got it. Okay. That's perfect. And then just one – my one follow-up question. In terms of the net interest margin, obviously, we had a – you say, we had a very good increase there. And it seems that some of it may have been driven by unusually high minimum interest collections, et cetera, but also lower deposit costs. When you think about the NIM on a go-forward basis from here, should we expect the lower deposit costs to continue to drive the NIM higher? Or how should we think about the trajectory of margin? Thank you.
George Gleason: I would suggest that we're at or near peak on the NIM probably in the near-term. We commented in our management comments that we're originating loans at lower rates than the rates that were earned on loans last quarter. That is unfortunately a part of this very liquid low-rate environment in which we find ourselves yields on all sorts of financial instruments and loans are lower than they were and probably lower than they should be, but it's part of the environment. So as loans roll off, we're not able to replace those yields with equal yields. We are being diligent to not sacrifice our credit standards and structure standards that we've adhered to for a long time that are the hallmark of our great asset quality. But we are having to get more aggressive on price to not only replace assets that are rolling off, but also grow assets. So growth is important. Pricing is a bit negotiable in here. So loan yields are probably almost certainly headed lower. We've got room – Cindy can talk about this later in detail. We've got room to continue to lower our deposit costs for a while to some extent. And I think there'll be some pressure on core spread and some pressure on NIM. We did benefit in the quarter just ended from a very good level of minimum interest and loan fees, and I've noted several of the research reports on our results noted that we didn't quantify that. And the reason we didn't quantify that is it's hard to know what's normal. Some quarters that's $9 million or $10 million, some quarters it's just $3 million or $4 million and it bounces around all over to place. We were on the high-end of the range. This quarter, we could be on the low to middle of the high-end of the range for the next few quarters. It just depends on a lot of things that are hard to know when particular loans payoff and it's at this quarter or next quarter and so forth. So we didn't quantify that we were on the high-end of that. So that naturally alone will have some pressure on loan yields in Q3. And the key is going to be our ability to continue to offset that pressure with reducing deposit cost and the guys are doing a real [Technical Difficulty].
Kenneth Zerbe: All right. Perfect. Thank you very much.
George Gleason: Long-term, Ken, growth is the key.
Kenneth Zerbe: Understood. All right. Thanks.
Operator: Thank you. Our next question comes from Timur Braziler of Wells Fargo. Your question, please.
Timur Braziler: Hi, good morning. George, maybe just following up on your last comment that long-term growth is the key, it seems like our RESG, Indirect RV/Marine, ABL, CBSG all converge in 2022. I guess what does the near-term growth rate look like in 2022? And then once RESG is fully normalized with payoffs kind of stabilizing and originations starting to pick up again, what does that growth rate look like?
George Gleason: Timur, I think, I'll let Brannon Hamblen address that because Brannon is our President, but he oversees RESG and our Corporate & Business Specialties Group and our new Asset-Based Lending Group. So he's got a pretty good perspective firsthand on most of that. So Brannon, you want to take that?
Brannon Hamblen: Absolutely. Thanks for the question, and good morning. Picking a normalized growth rate is a little bit fine point to make. But what I would tell you is from RESG's perspective, and George alluded to this, we're seeing very good pipeline activity. We're very strong there and our conversion, our wins of what's available out there is starting to pick up. So I'm expecting the back half of the year for originations in RESG to be definitely moving in the right direction and back toward and beyond what we've historically done. You guys know, it's a construction loan portfolio. And what you close today when you've got 50% average loan to cost, it takes a while to get those dollars out. So while we will have – we've included again the graph on Page 7 of the comments that really gives you a sense of what's left from the legacy portfolio that's outstanding and therefore what's left to paydown. So back to Ken's earlier question, you get a real sense of what that cycle is going to look like. So we will still have some payoffs, but I'm seeing really good growth opportunities in the – on the origination side that will start to – and we've obviously weren't sitting on our hands in 2019 and 2020. So some of those loans starting to hit with funding will help us well to offset or at least in part these payoffs that will keep coming in the velocity that you see on Page 7 following the originations in the natural lifecycle. In our new asset-based lending group, excited. Again, as I mentioned last quarter, about the addition of that team and that team is growing. We're adding incrementally and look forward to having, we think, some really solid players in – probably, Texas and Georgia markets first is what we think is going to happen there. And Mike Sheff, who leads that group, is, in addition to building the team and the infrastructure toward originating its first loan is very active in the market as well. And I expect that those guys will start to originate probably the first closings in Q4 or early Q4, or possibly get one end in the Q3. But the opportunities that they're seeing out there and the geography that they're covering, I'm feeling good about those guys really contributing to our growth. They'll start at a moderate pace, but I think gather steam pretty good towards the back half of 2022 and keep going in 2023. I think there is good potential for originating some really solid credits in that world. And our CBSG group is, as we noted, going to have some headwinds early on, but they're building a base and getting competitive and originating some new stuff with new borrowers there. So we'll see that accelerate as well. So, Timur, it's hard to circle a number, but I can tell you that the outlook is positive across all three of those groups. And I think RESG is the big driver there. We're looking forward to getting back to what we've seen in previous years there. We think that the volume is there and we're out there trying to haul it in, and having some good success now.
Timur Braziler: Okay. Helpful. Thank you.
George Gleason: Timur, I would add that we are gaining in a very steady and consistent manner, traction with our indirect lending group and the new business model that we rolled out about a year ago now or almost a year ago there in that unit, and we really like the way that's performing. We're going to, we think, be able to protect our asset quality while paying lower premiums and getting better spreads. Now given where rates are, we may get better spreads, but that might not translate into better rates right now, just because of how low everything is. And our community bank is also getting some traction, I think. So, growth will continue to be a challenge in outstanding certainly through Q3, I hope that we'll have a positive growth number in Q4. And I think, as Brannon said, there is a lead time between getting these things closed and beginning to get funding on them. But I think we ought to see a steady progression in our total outstanding balances and earning assets from the loan side throughout 2022 and into the future. And I think we've got all these units going in the right direction. The business model has certainly been proven. And I think we've got really good prospects of stepping up to a higher level of origination volume across the company, more diversified also, than it's ever been before.
Timur Braziler: Okay. I appreciate the color. And then my follow-up, in the release, you had indicated that you're seeing fewer origination opportunities in large urban markets such as New York that are meeting your standards. Is that still a few number of deals that are coming online? Or are you starting to see some deals come online that aren't necessarily checking your credit box or other standards?
George Gleason: Well, we always see a lot of bills that don't fit our credit box. But I would tell you, I was in a lot of our major markets, I was in New York, I was in Boston, I was in Chicago, I was in Miami, I was in the Tampa-St. Pete area, I was in Phoenix, I was in Los Angeles, San Francisco, Denver. I've been in a lot of our markets in this last quarter. And larger mixed-use projects that we've missed the origination on those for the last several quarters, just because a lot of those projects got put on hold in the pandemic, there are a lot of those opportunities that look really good, that make a lot of sense, that are coming back to the market now, and we're working a good portfolio of those. And we're seeing quite a few other opportunities begin to emerge in those more urban markets that were more significantly impacted by the COVID pandemic shutdowns and work-from-home phenomenon. So I think things are normalizing and that bodes well for future origination volume.
Timur Braziler: Thank you for the questions.
Operator: Thank you. Our next question comes from Brock Vandervliet of UBS. Your line is open.
Brock Vandervliet: Hey. Good morning, everyone. Just on the deposit dynamics, George, it's great to see what seems to be something you've talked about for a couple of quarters now really in motion with a tangible remix, declining time deposits in both categories, and as a result, lower funding costs. Could you talk, basically top of the house, what inning are we in, in that process? And more granularly, where you think your total deposit costs or interest cost could settle out by you say year-end?
George Gleason: Brock, I want to give credit, where credit is due on that. Cindy Wolfe, our Chief Banking Officer is on the phone, so I'm going to let Cindy answer that question. But Cindy has built a great team under her that includes Carmen McClennon, our Chief Retail Banking Officer and Ottie Kerley our Chief Deposit Officer, and a number of other key players. And they are doing really a good job. I'm going to advice Cindy to not try to tell you what inning we're in, but just give you color on where she thinks we are going in our process of transforming our deposit base. So Cindy, take that one if you would.
Cynthia Wolfe: Sure. Yes. And further, I won't guess what our cost of funds will be at year-end. But as you can see on Page 14, we have run rate left in our CD maturities. So I can talk about how that's been going so far and it all – there are indications that those trends will continue. And that's that, when we went into this wave of CD maturities, we expected to retain a certain amount of them based on our historical performance around retention of CDs and the industry. And we actually retained more than this go around and we thought we would, which we're happy about that, and of course, obviously, they're being repriced much lower. So you can see that in Figure 16, and so we'll continue to take advantage of that, not only in lowering cost of funds, but changing our mix of deposits and replacing with core.
Brock Vandervliet: Got it. And just as a follow-up, I noted the comments closing – selling a branch or two here and there, taking out some headcount. What's kind of going on in that process behind the scenes? Is that sort of an interest in kind of stack ranking the profitability of the various branches?
Cynthia Wolfe: Well, it's really no different than the way we've always run our branch network planning. We look at a number of different factors. But I will say that a lot of it is client-driven. We want to be a client-centric bank. So we have all these various consumer channels where our clients prefer to interact with us, whether it's over the phone, over a mobile device, online, and of course in branches. So as long as our clients want our branches and they are keeping them busy, then we want them to have that option. So we're really responding to the market with our branch network.
Brock Vandervliet: Got it. Okay. Thanks for the color.
George Gleason: Brock, I would add a little color there as well. The COVID pandemic, Cindy and our team responded really aggressively and updated our mobile banking apps a couple of times and accelerated some plans. We had to improve the look, feel, functionality performance of those apps. They worked closely with our technology team to improve the speed and reliability metrics of that as well. All those things were on the drawing board. But the pandemic, which meant that our branches were interacting with customers in a different way by appointment-only or drive-in-only or whatever, pushed those mobile channels out much faster and encouraged customers who might have been slow adopters to be more rapid aggressive adopters of that technology, and that has changed the dynamics of how customers are interacting with these branches. So that changing customer interaction increased reliance and utilization of mobile online and other non-face-to-face technologies has accelerated the closure of some of these branches and most of these are branches, situations where we had two or three branches in an area, and we concluded that based on changing customer utilization patterns and increased technology utilization. We could serve our customers effectively with two instead of three or one instead of two branches in an area. So it is helping to offset cost and you've seen that in our fairly muted non-interest expense growth. Those cost saves are going to be very important because we're in an environment now where a lot of people have changed their working plans and patterns and behaviors following the pandemic and the experience they had per year or so during the pandemic. So we're experiencing labor cost as we mentioned in the management comments and closing these branches that are no longer needed and eliminating other redundant inefficient cost in our structure are going to be critically important in our effort to maintain or even improve our best-in-class efficiency ratio.
Brock Vandervliet: Great. Thank you for the color, George.
George Gleason: Thank you.
Operator: Thank you. Our next question comes from Catherine Mealor of KBW. Please go ahead.
Catherine Mealor: Thanks. Good morning.
George Gleason: Good morning, Catherine.
Catherine Mealor: I was excited to see the buyback authorization. Just wanted to get your sense as to how active you intend to be and is it more opportunistic, or is the plan initially to go ahead and use that whole $300 million?
George Gleason: Tim, do you want to take that one?
Timothy Hicks: Yes, happy to. Catherine, good morning. Good to hear from you.
Catherine Mealor: Good morning.
Timothy Hicks: Thanks for the question. Yes. Obviously, this is our first share repurchase authorization that we've done in our company's history. It is an authorization that has a one-year expiration, so it does go through July of next year. I think we have a moderate pace there. I mean, we will be opportunistic. Obviously, if our stock price were to go down, we're probably going to be more active. When our stock price goes up, we will be less active. So I think we'll look for opportunities to be opportunistic at a moderate pace.
Catherine Mealor: I like the win there, that was sneaky, Tim. And then my other question is just on the growth outlook. This is more just kind of an industry question. Just to think about how – we keep hearing about supply chain issues and construction costs that are impacting new construction projects. How much of that is impacting originations today? And what's your sense as to how that kind of moves along as we move through the back half of the year, and how that kind of impacts your growth outlook?
George Gleason: Brannon, would you like to address that?
Brannon Hamblen: Absolutely, and thanks for the question, Catherine. I think decreasingly so is the short way to answer that. As we have moved through the year, there have been situations where there are really some impacts, but nothing outside of the realm of what we're used to dealing with in our 18-year history on construction projects. And as to affecting originations, as George alluded to in his travels thus far this year and week-in, week-out over the past quarter, you had seen opportunities increasingly come to market. So it really doesn't feel as though or any data present itself that would say that there is any material impact there. There is a cost impact to projects and so there is a fine tooth pencil that's there right after the closing projects. And from a pure closing the loan perspective, it may delay that a bit. But as we've alluded to, the liquidity in the market and some of the lowered expectations on the yield of some of that money is helping those capital stacks to absorb the cost impact, and that cost impact seems to be moderating in certain cases. So in short, deal flow is moving much better as we move through the year or so. To the extent that it's been an issue, it's not keeping the market from bringing increasing number of deals and deals that are RESG type deals that came up earlier. I think we're definitely looking at more of those larger mixed use projects that have been slow out of the box out of COVID. And so I would expect – I mean my expectation would be anything can happen, but then we'll start to see on average larger loan amounts as we close into the back half of this year and into 2022. There are a lot of large projects out there yet to come to the market, and of course, our capital puts us in a great position to be able to bid on those large projects. So hopefully that answers your question.
Catherine Mealor: Yes. It does. That's great. And then maybe one follow-up, if I could, just on – to follow up on the loan yield conversation. I know it's hard to pinpoint the accelerated fees this quarter. But could you maybe give us a sense or maybe anecdotes about where new production is coming on today particularly in the RESG book?
Brannon Hamblen: Absolutely. It's sort of the same story. In terms of the product type, there's been a lot of residential, whether multifamily or condo, origination going on, but we continue to have really good diversification across the other product types as well. Our footprint geographically is very well situated to enjoy the benefit of a lot of migration trends in particular the Southeast, but also Southwest, West. There was a question earlier on New York. While we haven't seen yet the origination pick back up there, the opportunities that we're looking at definitely are, and I think we'll be doing more business there. While that's been slow, the guys have done a great job of penetrating the Boston market, good activity there, the DC market. So we have a lot of ways that we slice and dice our portfolio for you in our comments. And what we're seeing is, is not all that different in the future origination pipeline from what we said in our comments this quarter. While we haven't been closing the big ones in some of the big markets, they're coming to the market. In the meantime, we've done a lot of stuff and in some of the other smaller markets. So keeping busy, closing a lot of loans across a lot of different markets and the same general product types that we've been active in, in the last couple of quarters.
Catherine Mealor: Great. And then pricing on this new loans?
George Gleason: Catherine, let me take that one. Yes, let me take that one. It's all over the Board. We're trying to diversify more into industrial and life sciences because we think that further diversification of that RESG portfolio is helpful, that tends to be things that get done at a lower margin powder pricing. So it really is all over the Board. I think the loans that we've probably had in committee in the last six weeks or so, we probably had a 300 basis point differential between the lowest approved yields and the highest approved deals. And it just reflects the product type, the market, the complexity of the transaction, a variety of things. We get to start doing more really complex transactions that are not as commodity-type transactions that require our expertise and sophistication to execute. We get better pricing on those than we do a plain vanilla apartment deal that pretty much any lender can compete for. So it's hard to nail down pricing. I would tell you, on average, the loan yields we're getting on new originations are less than the yields on the book. And that is surprising to anybody, they've been under a rock for the last couple of years because the Fed has got the market so liquid that there's just not the yield out there than there was. So, clearly, as we said, a downward pressure on loan yields, we've got to offset that with volume, we've got to offset that with controlling deposit cost and keeping our efficiency ratio really low. So we understand our game plan on how to address an environment where there is pressure on loan pricing. And I like our plan and I like our prospects of being successful with that.
Catherine Mealor: Got it. Understood. Thanks for all the color.
George Gleason: Thank you.
Operator: Thank you. Our next question comes from Stephen Scouten of Piper Sandler. Please go ahead.
George Gleason: Good morning, Stephen. Stephen, you might be on mute. We will go to the next question.
Operator: Our next question comes from the line of Michael Rose of Raymond James. Your line is open.
Michael Rose: Hey, good morning, everyone. Thanks for taking my questions. One area that hasn't been hit on yet, George, is technology. It's becoming a big issue. I know you guys have spent a lot of money over the years moving into new headquarters, systems investments, things like that. But the tax plan continues to move higher for the industry. Just wanted to get an update on maybe some things that you're working on, and maybe how you would expect to fund them? You guys have been really good on the expense control front after some of those larger investments a couple of years ago. So just wanted to get a broad update on the technology efforts and where we stand. Thanks.
George Gleason: Hey, Brannon, do you want to take that? Obviously, data innovation and technology now reports to Brannon and has been for a couple of quarters. So Brannon, you want to talk about that?
Brannon Hamblen: Absolutely. And I'll say that, a lot of the efforts have been – I think we talked about this last quarter around the efficiency of the way we run the operation. And George and Cindy alluded to the outward facing side as well. So it's a two-front war. It's focused on our efficiency internally and preparation of everything that we do today is focused on what we want to be tomorrow, and that's bigger, better and faster. So we're working on initiatives that is focused on bringing some application that was developed initially at RESG and bringing that into the rest of the organization and on Moody's platform at the same time and both working together to just make – give us the opportunity to be more efficient in the delivery of data from one end of the process to the other, give upper management better insight into what's going on from beginning to end of the process. So there is a lot of – and then just managing our data and new data marts and new platforms. So efficiency is a big word as it relates to the internal side. And then Cindy and Carmen have been working with our Labs team, as George alluded to on a number of fronts, to move with the market. As the needs and desires in technology change, we want to stay at the leading edge of that to ensure that we are putting Cindy and her team in the best possible position to move the deposit world where it needs to go. So we have said many times that we're committed to excellence and not just our credit, but also our efficiency in the way we serve both customers and provide our employees with the opportunity to do their jobs. So that will be something we're always focused on. I think everyone on the call understands the speed at which technology is changing and it's our desire to stay up with and ahead of that at all times.
Michael Rose: Okay. Great. Well, maybe…
George Gleason: Let me add a little bit to that. We really are fortunate to have an excellent technology team. And that whole group now technology, data and innovation reports up to Malcolm Hicks, who reports directly to Brannon. And we've been very effective in the last year as Brannon said in delivering quick technology enhancements, upgrades and solutions. Our Labs unit has been very instrumental in that. Those guys, I think, are doing the best work they've ever done. We've gotten a very pragmatic, practical, get things done, accomplish improvements sort of focus throughout that group that makes them really effective in helping our company, and we continue to advance on a lot of fronts. So I'm pleased with where we are. I think your question probably was aimed at – were we going to see huge increases in expenditure. So regarding technology, I think we will see increasing spend, but at a fairly moderate rate of growth because I think our guys are being very efficient and very pragmatic in how they're approaching this. But we are at the same time advancing our technology capabilities consistently and I think pretty materially. I feel real good about the progress we're making and the cost that we're incurring to make that progress seems very efficient to me.
Michael Rose: Okay. Great. And maybe just as a quick follow-up, the service charges were up this quarter, there's been some headlines out there, some self-imposed, but also some external pressure on NSF fees. I know that's not a big line for you guys, but is this what – a) what drove the increase? And then, b) what steps do you plan to take as it relates to NSF for those customers that have it again? I know it's a small proportion for you, but it has been in the news lately. Thanks.
George Gleason: Well, we're monitoring what political and regulatory conversations are going on about that subject. It does seem likely that some changes are in the wind ahead. We don't have any significant plans to change anything in the short run, increase or decrease in that regard. We have seen, particularly the last month or two – as economies have more fully reopened and people are out spending and so forth, we have seen an improvement in service charge activity. And part of that is just the philosophical approach that Cindy and her team are taking on deposits and getting more core customers, and less interest rate driven customers. And those core customers tend to engage in activities that create more service charge revenue. So I would tell you, the biggest impact in the improvement in the last quarter was just the normalization of economic activity and reopening. Second to that is improvement that Cindy and her team are making in the quality and value and profitability of our deposit base.
Michael Rose: Great. Thanks for taking my questions.
George Gleason: Thank you.
Operator: Thank you. Our next question comes from Matt Olney of Stephens Inc. Your line is open.
Matthew Olney: Thank you. I'll start on the interest-bearing deposit costs. It sounds like there is more room to bring that down in the near-term. But I guess from a strategic standpoint with all the liquidity in the system, I'm just curious if the bank is yet considering locking in longer-term funding in anticipation of higher rates in the future?
George Gleason: Cindy, you want to take that?
Cynthia Wolfe: Would you repeat the question, please?
Matthew Olney: Yes, Cindy. I was just asking if the bank is considering locking in longer-term funding in anticipation of higher interest rates.
Cynthia Wolfe: We are. So Ottie and – our Chief Deposit Officer; Drew Harper, our Managing Director of Wholesale Deposits have been working on that and are doing some relatively conservative steps to increase duration in our book. We're not going overboard with it, but yes, we are having those conversations and making some moves to add duration.
Matthew Olney: Okay. Thanks for that Cindy.
George Gleason: And Matt, we're doing that in a cost effective manner. I think, Cindy pointed out that chart at the bottom of the page there on deposit cost, Figure 16 I think it was. And if you look at our new and renewed time deposits in Q2, they were a fraction of 1 basis point. It actually rounded up instead of down this quarter. They were a fraction of 1 basis point higher in Q2 than in Q1. And that differential really reflected their efforts to – without materially impacting our cost fund began to ladder in some longer duration deposits.
Matthew Olney: Okay. Thank you. And then I guess I want to circle back on the discussion around loan fees. And as you said, George, it's just not easy to predict where that's going to land any given quarter. But it does feel like these fees have been elevated for a few consecutive quarters. Is that fair? And then for the short-term extension fees in particular, I think that was one of the fees that was mentioned in the management comments. My working assumption has been that some of those extension fees are associated with RESG project delays that were driven by the pandemic last year. Is that right? And if so, can we assume that some of those projects that were delayed are not coming back online and getting back to normal schedule? And so should we assume that those extension fees will be lower next year compared to this year? Thanks.
George Gleason: That's probably a fair assumption, Matt. And again, these kind of extraordinary extension fees, minimum interest and so forth, I mean we're talking a range in a low quarter $3 million or $4 million a quarter, and a high quarter $8 million or $9 million and more typically somewhere in between there. But it does just bounce around a lot. So yes, you're correct that a lot of projects that were delayed for three months to six months by COVID need another three months or six months or four months to get the project completed and sold units closed and the loan paid off or to refinance to the permanent market and that has been a nice source of fee income. Particularly the last couple of quarters, we've seen quite a bit of short-term extension fees the last two quarters. And I think we'll continue to see some level of that in the last two quarters of the year and diminishing somewhat next year. And the other fees just tend to – even in normal times tend to minimum interest and acceleration of deferred loan origination fees from faster than expected payoffs. Those things tend to just bounce around a lot in good times and bad times. And actually, the acceleration of deferred loan origination fees and minimum interest can have a greater impact in periods where things are going much faster than when refinances and sales are going slow because your projects typically tend to earn-out those fees and earn-out that minimum interest before they pay off and when things are going slow. So it's a very dynamic situation and it's hard to generalize. And that's why we always are hard pressed to give really good guidance on it because it just bounces around a lot from quarter-to-quarter. We're thankful for them, we earned them though. Let me be clear on that.
Matthew Olney: Sure. Thanks for the color.
George Gleason: All right. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Brian Martin of Janney Montgomery. Please go ahead.
Brian Martin: Hey. Good morning, everyone.
George Gleason: Good morning, Brian.
Brian Martin: Hey, George or just whomever, just maybe it's more Tim. Just on the – you've talked about just kind of the deployment of capital. I mean, obviously, the growth in the buyback you've mentioned. Just kind of any update on just how you're incorporating in the M&A commentary, just how that's trending today the opportunities or what you're seeing maybe seems less likely with the growth it's in front of you that you've already articulated?
George Gleason: Tim, you want to talk about that?
Timothy Hicks: Yes, happy to. Thanks, Brian for the question. Certainly, as we outlined in the management comments, organic growth is our number one growth priority. Clearly, we've got a lot of things moving in a positive way there between RESG, asset-based lending team, our community banking team. If you exclude the PPP loans, our community banking team actually grew this quarter. I think no surprise our Florida and Texas markets did really well in community banking. Indirect lending seems to be certainly on a positive trend there as well. So we're focused very heavily on organic growth and the opportunities there. Obviously, we announced a share repurchase authorization along with our earnings as well. But our appetite is back for M&A. We are looking at opportunities. It is a secondary growth opportunity for us to our organic growth opportunity. We don't want to do anything that would be of a size that would disrupt the momentum that we have organically, but we are actively looking and looking for opportunities. Clearly, we still believe our stock price is undervalued compared to some of the peers and compared to some of the valuations of some of the acquisitions that have occurred recently. Obviously, the M&A market is very active right now. We would look probably to do something of a size where we can do it for cash or some combination of stock and cash. So a lot of things moving there, but that is a – one of our primary focus areas is just how do we deploy our capital in the best interest of our shareholders and we're looking at all avenues to do that.
Brian Martin: Got it. Okay. That's helpful. Thanks, Tim. And then maybe just the – how do you think about the kind of mix of the balance sheet? I know the securities were up a little bit this quarter, but just given the growth that's in front of you, just kind of how that mix may change as you go over the next 12 months to 18 months? How should we think about that? I think securities were maybe up to 18% or so of assets. Maybe I'm not sure if I had that exactly right, but just up a little bit relative to the past.
George Gleason: Brian, I would say, we've typically maintained our loan-to-deposit ratio in that 89% to 99% range. We've been comfortable. We've got all sorts of stress testing and secondary source of liquidity and other things that have given us comfort being at that level. We're a little below that right now. I would think that as we get the loan growth going where we want, we'll return back into that 89% to 99% range in the future.
Brian Martin: Okay. Perfect. Can I just sneak one in? Just last one for Greg, maybe on the – it look like you said earlier, George, just some commentary about the wage inflation. Just how that may impact expenses as we go forward here? Or just how we should think about that? Thanks.
George Gleason: Greg, do you want to take a shot at that?
Gregory McKinney: Yes, I will. Brian, thank you for the question. As we mentioned in our management comments, we have experienced pressure, really broad-based pressure across the U.S. from wages and being able to find workers to fill all the spots here in the bank where we want to have and retain our teams and make sure that our teams are getting properly compensated. So I think there is going to be pressure from that as we look into the next quarter or two. How long that continues? That's probably still to be determined. But some of the things that Cindy and her comments in response to a question about our branches, some of those things we're trying to make sure that we look at all of our operations and make sure we are eliminating any sort of redundancies or inefficiencies, utilizing technology to really help us to the extent we can offset those wage pressures. Hopefully, we can effectively offset that. But as we mentioned in our prepared comments, that's certainly going to be a challenge and that's going to be probably a driver of increasing salary and benefit cost for us over the next couple of quarters.
Brian Martin: Okay.
Timothy Hicks: Hey, Brian, this is Tim. And we have it in our commentary. But just as a reminder for non-interest expense for Q3 specifically, we do have a couple of one-time type items that are going to impact Q3 non-interest expense. The $2 million of charges we are going to expect to incur from the closure of a few branches that we have and schedule to close in Q3, and then we did redeem our sub-debt on July 1, that had about $800,000 of costs –that deferred issuance costs that were not amortized yet, that's going to come in, in Q3 as well. So just a reminder, from that perspective, but that will impact Q3 and not future quarters.
Brian Martin: Got it. Okay. Thanks for taking the questions guys.
Operator: Thank you. Our next question comes from Stephen Scouten of Piper Sandler. Your line is open.
Stephen Scouten: Yes. Thank you very much. I appreciate it. Good morning.
George Gleason: Good morning.
Stephen Scouten: So I wanted to just follow-up on the capital and just kind of how to think about capital deployment in light of kind of your legal lending limit. And I know the buyback is a part of it, maybe you're able to find a deal that's cash or predominantly cash. And so is the right inference there that you don't need your legal lending limit theoretically to be as high and we might not see the bigger commitments, $400 million, $500 million, $600 million return anytime soon? Or am I reading too much into that?
George Gleason: You're reading too much into that. Our legal loan limit now, which we've grown by accumulating a lot of capital in recent years, is a very important part of our strategy to significantly increase our RESG and other portfolios longer term. So I think what you're seeing through our increased dividend rate and the stock repurchase program is not a situation that's going to take our aggregate dollars of capital down. I would expect that our strong earnings to pay for the dividends and the stock repurchase and let us maintain or even increase our aggregate level of capital. Now, Tim mentioned that and our management comments, mentioned that our $225 million more or less of sub-debt, we redeemed on July 1. We will probably be back in the market mid-quarter to replace that sub-debt with somewhat more, somewhat less depending on market conditions where we place that we think at a significantly reduced cost. But that sub-debt will come back on refilling that part of the capital bucket that temporarily has gone away from July 1 to whenever we replace that sub-debt, but we expect our legal limit to go back up. And as Brannon mentioned in his comments, we are seeing a number of really large complex mixed-use projects that have phenomenal top of the universe best-in-class sponsorship on best-in-class projects. So I hope you're going to see us doing more of those transactions going forward and not less. And I think our legal loan limit, even with the stock buyback and the dividend increase history that we've had, will continue to grow based on strong earnings.
Stephen Scouten: Okay. That's extremely helpful. Thanks, George. And then my follow-up question I guess is somewhat related. And if I look at Figure 44, it looks like some of those larger commitments have been funding up, and then I've kind of paired that with the origination levels that have remained strong in Figure 7, where it looks like the headwind of prepayments should normalize as you look at 2019 and 2020 production. So I'm trying to think about how the prepayments don't slowdown more precipitously. I know you said they shouldn't necessarily, but I'm trying to reconcile that with Figure 7 and then think about if growth could really return to like the 7% level we saw in 2020 or is that too aggressive? But it seems like everything is moving really strongly in the right direction.
George Gleason: Yes. I think everything is moving really strong in the right direction. Of course, typically, most of our deals are sort of two years to four years on the books, three-year average. So we've still got some carryover from 2016, 2017 and 2018. All of the 2014 and 2015 originations have paid off now and almost everything pre-2014 is paid off. Several more of those paid up in the most recent quarter, so we're down to just a handful of pre-2014 deals. The 2016, 2017 and 2018 stuff is all wrapped stuff to pay off over the next several quarters and we're getting into the point where that 2019 origination volume is going to start seeing some sizable paydowns. Next year, we'll be kind of hitting the three-year mark on that, and that's kind of the prime time for deals to be moving out. So we've got to grow origination volume to offset the payoffs. And if you look at our total origination volume, we were doing that from 2014 to 2015 to 2016 to 2017. We're hopeful that when you see 2022, 2023 and 2024, you'll see a nice upward trend in total annual originations, and that's what it's going to take to actually grow our outstanding balances is an increasing volume of originations plus contributions from a variety of other business units. And I'm pretty optimistic about how we're positioned to accomplish that at RESG and elsewhere.
Stephen Scouten: Yes. I think that makes a lot of sense. So that's great, and congrats on the record quarter.
George Gleason: All right. Thank you so much, Stephen.
Operator: Thank you. At this time, I'd like to turn the call back over to CEO, George Gleason, for closing remarks. Sir?
George Gleason: All right. Thank you very much. If there are no other questions that will conclude our call today. We appreciate all of you being on the call and we look forward to being with you in about 90 days or so. So thanks. Have a great day. That concludes our call.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.